Operator: Good day and welcome to the Nexstar Broadcasting Group 2009 third quarter conference call. Today's call is being recorded. All statements and comments made by management during today’s conference, other than statements of historical fact, may be deemed forward-looking statements within the meaning of Section 21 of the Securities Act of 1933 and Section 21-A of the Securities and Exchange Act of 1934. The company's future financial conditions and results of operations, as well as forward-looking statements are subject to change. The forward-looking statements and comments made during the conference call are made only as of the date of today's conference call. Management will also be discussing non-GAAP information during this call. In compliance with Regulation G, reconciliations of this non-GAAP information to GAAP measurements are included in today's news announcement. The company does not undertake any obligation to update the forward-looking statements reflective of changes of circumstances. At this time, I would like to turn the conference over to your host, Nexstar President and CEO, Perry Sook; please go ahead.
Perry Sook : I’d like to say good morning everyone and happy Veteran’s Day and thank you for joining us this morning to review Nexstar’s 2009 third quarter operating results. Thomas Carter, our Chief Financial Officer is on the call with me today and after our brief remarks we will open the floor for your Q&A. Nexstar’s focus on growing new revenue streams and leveraging our local platforms continued to serve us well on the quarter. During Q3 our multi platform content distribution strategy, revenue diversification initiatives and continued success in generating new local direct billing, led to another period of solid revenue results despite significant reductions in political advertising and the overall downturn in ad spend due to the recession. Total third quarter net revenue amounted to $60.4 million, a 14.1% decline from third quarter revenues of $70.3 million in the year ago period with the decline reflecting a $6.8 million or 87% reduction in gross political spending as well as the impact of the general economy. Another way to gauge Nexstar’s performance is to compare our Q3 2009 top line to 2007 rather then 2008. You’ll recall that Q3 of 2007 was the high point of the market and looking at the business this way, our Q3 2009 is down 6.3% from our 2007 levels which we feel is fairly remarkable considering the significant change in economic conditions during that time span. Notwithstanding the current state of the economy, the third quarter extended our record growth from our retransmission consent, our e-MEDIA, and our management fee revenue streams. In total revenue from these sources increased to $11.4 million in the 2009 third quarter. That’s a 28% rise over what we generated in the same period last year. While we continue to generate record quarterly revenue from these high margin sources, Nexstar also achieved year over year and quarterly sequential improvement in new local direct billing as we begin to see some recovery of television ad trends. As a result Nexstar’s 2009 revenue comparisons excluding political have improved on a quarterly sequential basis throughout the year with Q2 being better then Q1, and Q3 better then Q2 this year. With this trend extending into the fourth quarter to date, we are optimistic that traditional television ad spend is stabilizing in our markets and we also expect to generate ongoing aggregate revenue gains from our retransmission consent, management agreements, and e-MEDIA revenue activities. In a moment Thomas will review the financials in more detail and the recent credit agreement amendments, but I’ll also jump ahead right now to report that as a result of our previously announced note repurchases and our exchange offer, 2009 third quarter total interest expense was reduced by 25.3%, cash interest expense was down 52.2% from the same period last year. In addition free cash flow of $5.3 million in the third quarter of 2009 represented a 40.8% rise from last year and benefited from reduced capital expenditures related to the completion of our digital television conversion spending and the reduction of the cash interest expense. Before I turn the call over to Thomas for a review of our financials, let me run through some of our Q3 highlights. Third quarter retransmission consent revenues of $7.9 million exceeded Q3 2008 levels of $6.2 million by 27.4%. In 2009 year to date we have generated $22.5 million in retransmission revenue. Q3 e-MEDIA revenue came in at $3 million surpassing last year’s third quarter by 8.8% and we are one of only of a few public media companies showing growth in e-MEDIA revenue throughout 2009. In 2009 to date we have generated approximately $8.3 million in e-MEDIA revenue or about 13% more then we did in the comparable 2008 period and business on the books for the full year is already ahead of last year’s total. In the third quarter we recorded $500,000 of management fee revenue from our agreement earlier this year to provide services for the Four Points Media Group and their community portal websites, their stations and websites. Having completed the first six months of this relationship we believe this is proving to be a win win for both parties. New to television local direct billings totaled $3.93 million for the third quarter representing an increase both over second quarter of $3.72 million as well as over 2008 third quarter billings of $3.71 million. Increased project and event selling and strong individual efforts at our local stations contributed to this achievement and this is yet another way that our company is mitigating the impact of the challenging environment. On this front one month ago Nexstar launched a company wide information and education campaign entitled 101 Reasons TV Advertising Works. This initiative which can be found on our corporate website also underscores Nexstar’s commitment to developing new and creative ways to highlight the benefits of local television and its role as the most effective advertising medium for local businesses. We’ve had a positive response to this campaign in our markets and we feel it is playing a role in the improving trends we’re seeing here in Q4. During the quarter automotive ad spending comprised approximately 17.1% of core advertising spend. It was 23% in the third quarter of 2008 and 15.4% of our Q2 2009 ad spend revenue. Probably of more importance is that our 3Q auto spending on a dollar basis rose by 7.8% over Q2 levels and was 12.3% higher then Q1 levels. Our individual dealer spending has been pretty much constant for the past three quarters whereas dealer group spending has been the catalyst of the auto category uptick. With this trend now underway we believe we have seen the lows of the auto category ad spending. Our broadcast cash flow totaled $18.6 million in the third quarter of 2009, that’s down 32% from the third quarter of 2008 and adjusted EBITDA came in at $14.6 million down 37% from third quarter of 2009. Free cash flow was $5.3 million compared with $3.8 million in the comparable period of 2008. Now let me turn the call over to Thomas to provide further detail on our financials and then we’ll come to talk a little bit about 2010.
Thomas Carter : Thanks Perry, I’d like to review some of the key Q3 line items on the company’s income statement and balance sheet as well as comment on the recent credit facility amendment. Before I do that, as reported in this morning’s press release Nexstar Broadcasting tests the impairment of its intangible assets whenever events or changes in circumstances dictate that such assets might be impaired. This testing resulted in a $16.2 million non-cash impairment charge in the September 2009 quarter related to goodwill and broadcast licenses. In the year ago period the company recorded a $48.5 million non-cash impairment charge related to goodwill, broadcast licenses, and network affiliation agreements. With regard to the P&L comments, net revenue of $60.4 million was down 14.1% compared to $70.3 million in Q3 2008. Broadcast cash flow in Q3 2009 was $18.6 million compared to $27.3 million in the previous year’s period. Adjusted EBITDA was $14.6 million compared to $23.1 million in the previous year. Gross local revenues of $37.3 million were down 12% compared to Q3 2008’s $42.4 million and gross national revenues were $13.3 million, down 18.9% compared to $16.4 million in the year previous period. Core revenue both local and national together of $50.6 million was down 13.9% compared to the same period in 2008. We feel this is a good result relative to some of our peer group comparisons. e-MEDIA revenues as Perry mentioned earlier were $3 million compared to $2.7 million in the year ago period, an increase of 8.8% and total retrans revenues were up 27.4% to $7.9 million in Q3 2009, approximately 80% of which was fee-based compensation. Management fees were $500,000 during the quarter and trade and barter revenues were up approximately 9% to $4.7 million. In 2009 third quarter the company incurred a loss from operations of $13.6 million compared with $36.8 million in the year ago period, both of which reflect the impact of the impairment charges that I discussed as well as the benefit of net gains on asset exchanges and disposals. Excluding these items we were virtually break-even on an operating basis during the most recent quarter. Overall Nexstar’s third quarter 2009 corporate overhead costs totaled $4 million which included certain expenses associated with the credit agreement amendment, compared to $4.2 million in the year ago period. Third quarter 2009 corporate overhead included $400,000 of non-cash employee stock option expense while the year ago period included $500,000 of that same expense. Moving on to the balance sheet, Nexstar’s outstanding debt as of September 30, 2009 consisted of bank debt totaling $407.6 million which was broken down into $322.6 million in outstanding term loans and $85 million outstanding on the revolver. The 7% senior sub debt was broken into two categories, the semiannual cash pay portion of $46.9 million and the PIK security which [PIKs] through January 15, 2011 of $130 million. There was $50 million outstanding under the 11 3/8 senior sub debt, and $41.1 million under the PIK 12% debt and again that [PIKs] through January 15, 2010. Total debt stood at $675.6 million, however for covenant compliance purposes under the credit agreement that amount is deemed to be $504.5 million since all of the PIK securities are excluded for that calculation. Last month Nexstar Broadcasting and Mission Broadcasting borrowers under the senior secured credit agreement, both the term loan and the revolving credit facilities, secured amendments from the lending group which adjusted certain financial covenants, the cost of borrowings and other conditions under the agreement. Nexstar’s total leverage calculated under the credit agreement for September 30, 2009 was 6.5x compared to a covenant of 6.75x and our senior leverage covenant was 5.25, actual versus a covenant of 5.5. The amended Nexstar credit agreement revises the calculation of our leverage ratios to exclude netting of cash and cash equivalents against the debt calculations. Pursuant to the amendments, the maximum consolidated total leverage and maximum senior leverage ratio again as defined in the credit agreements, increased quarterly through 6/30/2010 at which time the maximum ratios will be 10.25x and 7.5x respectively. Thereafter the maximum consolidated total leverage ratio and maximum senior leverage ratios will decline on a quarterly basis through 3/31/2011 after which they will be 6x and 4x respectively. For the quarter ending 12/31/2009 the maximum consolidated total leverage ratio and maximum senior leverage ratios are 8.75x and 7x respectively and we believe the amendment provides us with the leeway needed to avoid potential covenant issues as business continues to stabilize. Our credit agreement continues to require mandatory prepayments of principal as well as a permanent reduction in the revolving credit commitments based on the historical amortization schedule and a quarterly excess cash flow recapture. The credit agreement also places additional restrictions on the use of proceeds from asset sales, equity issuances, or debt issuances and allows the company the ability subject to covenant compliance and limitations to maintain a restricted payments capability. The amended Nexstar credit agreement also increases the cost of borrowing, those details and the entire credit agreement facility amendments and modifications are available in the current report on Form 8-K filed by Nexstar on October 15 of this year. Total interest expense in the third quarter of 2009 was $8.7 million compared to $11.6 million in the same period of 2008. Cash interest expense for the quarter was $4.7 million compared to $9.9 million for the same period the previous year. Cash interest expense for the first nine months of 2009 was $17.9 million, lower from the $30.5 million for the same period the previous year. Nexstar’s Q3 CapEx of $4.9 million compares with $10 million in the third quarter last year as we concluded nearly all of the remaining spending required for our digital television station conversion. We expect our CapEx run rate to continue to decline on a quarterly basis through the end of 2010. That concludes the financial review for the call and I’ll turn it back to Perry for some additional comments and remarks before the Q&A.
Perry Sook : Thank you Thomas, we believe today’s report highlights the ability of our station, e-MEDIA and corporate personnel to operate effectively in this environment and why this discipline and focus has positioned the company to benefit as the advertising demand returns. Frankly 2009 is the toughest year I’ve seen in my 29 years in the industry but due to our foresight and ability to roll up our sleeves, I am proud of the way that we’ve managed and performed throughout this year and positioned the company for the future. As we look forward to 2010 we’re focused on a positive growth scenario and this is before we consider the anticipated recovery of core ad spend. Let’s start by looking at next year’s political landscape in our New York, Illinois, Texas, Arkansas, Missouri, and Pennsylvania markets in particular. Because of the contested nature of many of the local and state wide races, we see unprecedented activity in a non-Presidential election year. We already have 2010 orders on the books in the Illinois’s Governor’s race for the Primary and we expect to see more activity ramp up as we approach this and other Q1 2010 Primary dates. Retransmission revenue will also continue to grow again next year. We have successfully renegotiated over 180 of our 200-some agreements with the cable companies, sat broadcasters, and other distribution partners with the remainder coming up for renewal at the end of this year and by the end of 2010. At that point we’ll mark the completion of our second cycle of renewal agreements. As we come up on the five year anniversary of our historic path toward negotiating our first cash agreement its becoming apparent to us that because we were first in negotiating for retrans dollars that we are a cycle ahead of most of the rest of the industry. With most of our second cycle agreements now in force and with contractual escalators in place, we have in each of those agreements, 2010 will be another period of solid growth from this revenue source and will realize the full benefit of all of our round two contracts beginning in 2011. As we see a stabilization of local economies our e-MEDIA revenue is also poised for continued growth next year. We believe that the rates will continue to increase over the mid teen growth that we’ve achieved year to date in 2009. To remind everyone, our online strategies are to literally build community portals that are only associated with our local television stations by the fact that the TV station promotes it as a separate business. We remain focused on being the leading local online destination in our markets by creating hyper local communities of interest and super serving them with content. About half of our advertising on our local websites is from advertisers that have never used our television stations before, while the other half of our revenue is derived from convergence packages that we sell using our online and on air assets coupled together. We’ve recorded 12 consecutive quarters of revenue growth using this strategy. That represents the entire period that we’ve tracked this metric and we’ve been successful because we’re delivering both a very targeted audience and a very high ROI for our local advertisers. Last month we named a new Senior Vice President of e-MEDIA sales who is our revenue czar for this area and he is responsible for building revenue from our local community web portals and our content and our product and our service and sales groups. We are fairly unique in 2009 in continuing to report year over year growth in this revenue stream and we intend to launch additional interactive and on demand services that deliver media rich content to our consumers and opportunities for our local advertisers. We are also anticipating something in the way of a recovery on the core ad revenue, though our crystal ball isn’t saying exactly when and by how much. We fully expect automotive to rebound to levels higher then what we’ve endured throughout this year and the anecdotes coming out of Toyota, General Motors, and Ford are all very positive. Ford has already bought some packages in a number of our markets for the 2010 winter Olympics next February. The Olympics will air in prime time and we think this can be another positive driver of 2010 first quarter comparisons. In closing the results in 2009 to date demonstrate that Nexstar has weathered the impact of the recession as we continue to leverage our traditional television broadcasting operating model into a multi tiered model of high margin revenue streams. We expect substantial positive free cash flow for the company in 2010 based on the return of significant political activity, the contractual growth in our retrans, our expanding e-MEDIA operations, the Olympics, and the notable reduction in CapEx spending related to the completion of our digital spend. Reflecting these factors and Nexstar’s streamlined operating and cost structure we’re confident that even with modest increases in core ad spend, they will result in meaningful overall gains in our operating results. Thank you again for joining us this morning and now let’s get to your Q&A and we will address your specific areas of interest.
Operator: (Operator Instructions) Your first question comes from the line of Bishop Cheen – Wells Fargo
Bishop Cheen – Wells Fargo: Thanks for a very detailed overview, I just have a couple of questions to fill in some blanks for modeling purposes, you gave every piece of your top line except net comp, do you have that handy.
Perry Sook : We’re looking.
Bishop Cheen – Wells Fargo: And then on auto, its helpful for you to tell us what it is as a percentage of core but can you also tell us what it was down in Q3 both year over year and sequentially, or the change sequentially.
Perry Sook : The automotive spend all in as I said was 17.1% of core billing and it was down 38% from the prior year and that was up from the all time high low of minus 43 in Q2.
Bishop Cheen – Wells Fargo: And then while you’re looking for that net comp the IRS has a new change in the way that they treat NOL and some companies are anticipating an actual cash refund in 2010 because of the change in schedule, do you (a) I guess you’re aware of it, and (b) do you anticipate any benefit to Nexstar from the treatment of NOLs.
Thomas Carter : As it stands currently we’re not anticipating anything but that could change as we continue to dive into 2010 and potential issues there.
Bishop Cheen – Wells Fargo: And then obviously you’ve stayed away from any kind of quantitative guidance, can you shift into kind of the hint mode—
Thomas Carter : Before we start hinting, how about if I give you some facts and it relates to your network comp question, three months ended 9/30/08, network comp was 850 and you’ll see it being roughly 500,000 for three months ending 9/30/09.
Bishop Cheen – Wells Fargo: That’s not a shocker.
Perry Sook : I guess as I would characterize core ad spend which is I’m sure that’s what’s everyone interested in, core local and national finished ahead of those levels for 2008 in October and core local and national are pacing to do the same again in November and December.
Bishop Cheen – Wells Fargo: At the same magnitude.
Perry Sook : I’m saying that October core ad revenue finished ahead of, in 2009, finished ahead of 2008 levels so the core ad spend ex political was up and is pacing again to do so in November and December.
Bishop Cheen – Wells Fargo: Well that is helpful, I will pass the time and I appreciate the answers.
Operator: Your next question comes from the line of Jim Boyle – Gilford Securities
Jim Boyle – Gilford Securities : As the retransmission consent monetary payment poker chip pile gets ever bigger, it usually happens that the pioneers are taken for granted and everyone wants a piece of the pile, going forward how do you see how much of that should be shared with your network partners and whatever retransmission consents revenue that they can get, what share of that should rightfully be yours.
Perry Sook : I’m not having any specific conversations with any of the networks about this since we don’t have any affiliation agreements up for renewal this year, but having said that I am not of a mind and don’t understand why the networks would feel that they’re entitled to a piece of a revenue stream that we developed that they had no hand in negotiating, documenting or collecting. I’ll say this, the local cable system in Stroudsburg, Pennsylvania carries three NBC affiliates. The O&O is out of New York and Philadelphia and our NBC station in Wilkes-Barre, Pennsylvania. I’m being paid to be carried there. In St. Joseph, Missouri, the ABC affiliate from Kansas City is carried on the next channel to our ABC affiliate in that market on the local cable system. And I’m being paid to be carried there. And there are plenty of more instances like that. So with all due respect to my friends at the networks I contend that the network programming is not the main reason that we’re receiving compensation, its our local programming. Having said that, I would say that we would entertain as I’ve mentioned on previous calls if the networks are able to negotiate better deals on behalf of all of the affiliates and their O&Os, then I’m able to generate and negotiate as a small company then I’d be willing to share that upside with them on a 50-50 basis. And I think then they can say that they’re generating value from their distribution system beyond the vast majority of the ad avails that they keep for themselves and the programming that we pass through but they also would then generate money for their owned operated stations. I can assure you though that if we have the earlier conversation of the networks asking for a share of our retrans revenue that we’ll fight just as hard to keep that retrans revenue and we did to create it in the first place.
Jim Boyle – Gilford Securities : And looking really deep into the future given how technology is allowing local television as well as national content to be repurposed in a variety of manners at a variety of time, and whether its on demand or schedule viewing, across a variety of distribution channels, do you see it maybe in five, 10, 15, years that you may not even need your off air towers any more.
Perry Sook : I think that broadcasting is point to multi point distribution and its digital now and there’s rich bandwidth there that we can deliver a signal to just about any device given the right reception technology. So from our perspective we think that there will continue to be a 15% roughly average factor of the country that chooses not to sign up for a pay TV model. I don’t think that public interests would be served by disenfranchising those people. I think that our ability to deliver rich media content to multiple devices also serves the public interest so I think there will always be an over the air broadcasting component to our multi platform offerings.
Operator: Your next question comes from the line of John Kornreich – Sandler Capital
John Kornreich – Sandler Capital: I have several questions, I’ll just do them one by one, when retrans you talked about a “solid increase” for next year, it looks like this year is going to come in around $31, $31.5 million, could we get to $35 next year in total.
Perry Sook : Yes.
John Kornreich – Sandler Capital: Second question CapEx, it looks like the third quarter didn’t have any or certainly not much digital and yet I thought it was pretty high, like 8% or something like that or 7% of revenue, and obviously a much bigger piece of EBITDA, am I right that CapEx is still running high or are there some special non-digital projects that were in the third quarter.
Perry Sook : We hope to turn on our last full powered digital station this week that we’ve been operating at low power because of a tower issue in St. Joseph, Missouri. So there is still some digital CapEx in our CapEx number. Third quarter should be the end of that.
John Kornreich – Sandler Capital: So the CapEx for the year comes in something like $17, $18 million, could it be down around low teens next year.
Thomas Carter : I think the numbers you just quoted for the full year are going to be high.
John Kornreich – Sandler Capital: That means the fourth quarter may only be $2 or $3 million.
Thomas Carter : I think you could, I’m comfortable saying they would be below $17 for the year and then something in the low double-digits for 2010.
John Kornreich – Sandler Capital: Next on political, what was the political net revenue in 2008, refresh my memory.
Perry Sook : I can give you the gross number off the top, it was for the full year of 2008 $32.3 million.
John Kornreich – Sandler Capital: And do you remember at all what 2006 was, roughly, take a guess.
Perry Sook : It was in that same neighborhood, right around $33 million I believe.
John Kornreich – Sandler Capital: Next question is on expenses, operating expenses, if I’m doing my numbers right, your pre overhead operating expenses were only down 3% and then if you take out variable expenses, commissions and agency fees, it looks like the operating expenses weren’t down at all, so can you tell me what’s going on in operating expenses. Why aren’t they down in the 8 to 10% area, talk about going forward, and can comment with that, if you take out that 80% of the $8 million of retrans fees out of revenue and out of SOI because its 100%, your margins are less then 25% on ad revenue, net ad revenue. That strikes me as very low even in a very tough climate, maybe you can make a comment on that.
Perry Sook : I will tell you that from an operating expense basis we do have two acquisitions that are in the Q3 2009 that were not present in Q3 2008 that contributed a couple of point. All of the fees related to the debt exchange and now in the third quarter the credit facility amendment, we have to expense those now, those aren’t capitalized so they’re one time expenses.
John Kornreich – Sandler Capital: That’s in corporate, I’m talking about operating expenses.
Perry Sook : Let me get to the heart of the issue, I think our 2010 operating expenses will be flat to down depending on commissions tied to revenues. Our FTE’s at 12/31/08 were about $2,293, we project our FTE’s at the end of this year will be about $2,040, that’s an 11% reduction so I think that it is one-time fees and acquisitions that have maybe masked this from the perspective that you’re looking at.
John Kornreich – Sandler Capital: And just my comment that if you take out say $6 million of retransmission revenue and BCF, you’re left with about $12 million of BCF from advertising on $53 million of non-retrans revenue which is 22% margin on core business which also points to me that expenses just aren’t coming down as fast as frankly most other companies in the media business that we see.
Perry Sook : Well I think we had a head start on most of them in terms of operating with lower operating expenses and some of the highest margins in the business and I’m not sure I understand the argument of taking a Chinese menu approach to the revenue build. We have worked hard to diversify our revenue stream away from the core ad spend for many of the reasons that you suggest. So I think I would at the end of the day put our margins, our core revenue performance and total net revenue performance against any other company that’s reported, I’ll put them up against any of them.
John Kornreich – Sandler Capital: Last question, are there any more opportunities to buy in debt at a discount or are you prohibited from that going forward and I haven’t looked but the 7% PIK notes, where do they trade roughly, have you seen any quotes recently.
Thomas Carter : Just a couple of comments on that, we did retain the ability for a restricted payments basket in the new credit agreement. We have to earn our way into that through free cash flow but it is there. And then secondly I’ve seen quotes in the 60’s on the 7%.
Operator: Your next question comes from the line of Edward Atorino – Benchmark Company
Edward Atorino – Benchmark Company : Could you repeat what the actual national and local dollars were for the third quarter for systems, to fill in a couple of lines in my model.
Thomas Carter : Local revenues for Q3 2009 were $37.3 million, national was $13.3 million.
Edward Atorino – Benchmark Company : Also you gave a debt to cash flow number, was it eight something, because the press release said six and change.
Thomas Carter : The current one is total is 6.75 and the covenant level 6.5 actual. What I said I believe what you are referring to was the 12/31 covenant level is 8.75 and 7x.
Edward Atorino – Benchmark Company : At 12/31/08.
Thomas Carter : No, 12/31/09. That’s what the covenant requirement is.
Edward Atorino – Benchmark Company : Okay, I thought that was yours, okay. So you’re well under the cap then.
Thomas Carter : We are currently, yes.
Edward Atorino – Benchmark Company : And I guess that’ll hold up, in terms of pacing the Journal earlier in the week had a very bullish article about retail with some of the big brand names up large percentages I presume over low bases, what are you seeing in retail to any extent.
Perry Sook : As I think I mentioned we are seeing a pick up in local and national ad spend. Our core revenues finished ahead of 2008 in October and they’re pacing to do so in November and December.
Edward Atorino – Benchmark Company : You talked about auto, are you assuming, this article was, it sounded extremely bullish for retail for television, didn’t mention print at all and I was just wondering if you’re seeing what the Journal said was a big upsurge in retail from Target, Home Depot, etc.
Perry Sook : I guess it depends on how you want to break out retail. Our department stores and retail makes up about 4% of [inaudible] for billing and now furniture is, we break out as a separate category and that’s about 6% so we have seen signs of life. I won’t say that its widespread at this point but we have seen selected upticks if you will.
Edward Atorino – Benchmark Company : Did you see any, looking at the fourth quarter are you seeing any political money from all the stuff going on in Washington about the healthcare bill and all that stuff.
Perry Sook : Yes, political on the books in the month of October was over a million dollars, so we anticipate that will continue in November and December even though the elections are over, particularly the healthcare debate wages on so we expect we’ll report better then expected political for the fourth quarter.
Edward Atorino – Benchmark Company : And I think you said what, about 37 was political for, was it 2008.
Perry Sook : In 2008, I told John 32.3 was, 32.9 was the gross number for 2008.
Edward Atorino – Benchmark Company : Have you booked any Olympic money yet.
Perry Sook : Yes we have. We have, we’re probably about 25% to 30% of our goal as of a week and a half ago which was the last report in that we asked from our stations and we expect a flurry of activity as people begin to place first quarter but we have several sponsorships already sold, most notably Ford has bought out Platinum package in a number of our markets.
Edward Atorino – Benchmark Company : And you said the costs in 2010, flat to down, excluding any commission related stuff.
Perry Sook : Excluding commissions, the costs in 2010, operating expenses will be down, total expenses depending on commissions could be flat to down.
Operator: Your next question comes from the line of Matt Swope – Broadpoint Capital
Matt Swope – Broadpoint Capital : Just back to the expenses line, the SG&A number was a lot lower then we’ve seen it in previous quarters, can you help us understand where that might be going forward.
Thomas Carter : When you say SG&A, on the operating expense for the stations or corporate expense.
Matt Swope – Broadpoint Capital : No the operating expense for the stations.
Thomas Carter : And you’re referring to the $17.6 million number.
Matt Swope – Broadpoint Capital : Exactly.
Thomas Carter : I think that’s really where we’re taking hold in terms of some of our centralization of business managers and the hubbing associated with that and traffic. So I think you’re going to see that continue to be a more moderate number going forward. Also keep in mind that to Perry’s comments earlier Q3 of 2009 includes a full quarter of Jacksonville, WCWJ there, whereas Q3 2008 didn’t have any expense for Jacksonville, so actually if you think about it in those terms the apples to apples is actually a little bit less.
Matt Swope – Broadpoint Capital : So is this a decent run rate to be thinking about as a basis excluding the variable portion as we model going forward.
Thomas Carter : I would say yes and again to Perry’s comments, depending on where ad revenues go and most specifically we’re going to see a significant jump up in political in 2010. We do pay national rep commissions on those dollars.
Matt Swope – Broadpoint Capital : And now that you’ve got the amendment out of the way and seemed to have pushed the runway on that, how do you think about the capital structure as a whole with all these little pieces of debt you’ve got mixed together now.
Thomas Carter : Well I think about it a lot obviously, but we do have a RP basket capability. Obviously we have to be in compliance but we believe that’s obtainable and we do get to replenish our RP basket out of free cash flow, a percentage of that on a quarterly basis. So we will be able to given the results that we anticipate continue to address some of the other pieces of the [inaudible] capital structure. Having said that our focus here really is to continue to de-leverage and to reduce not only the senior debt but all portions of the capital structure. We think that the fundamentals of the business will continue to improve through 2010 and at that point we can address in part or in whole all of the capital structure when fundamentals are better and obviously we’ve seen some of the technicals in the capital markets improve and we continue to monitor that on an ongoing basis.
Matt Swope – Broadpoint Capital : And you presented a slide back at the Credit Suisse conference in June where you talked about the combination of e-MEDIA retrans, political and management service generate revenue of $100 million in EBITDA from those sources of about $65 million, and then when you presented the same slide a couple months later at the Deutsche Bank conference, you had revised that number downward to $90 million, didn’t give an EBITDA associated with that. Can you talk about why you cut that number from 100 to 90.
Perry Sook : I think its because I, in the intervening time between the two conferences I hired a new CFO who I think advised that we under promise and over deliver on our expectations.
Thomas Carter : And I would say the majority of that really comes in the management agreement realm. We’ve had a lot of discussions there but obviously we only one fish in the boat right now. We’re very happy with our Four Points and [inaudible] relationship and would like to do more. We just haven’t been able to ink any of those deals and I think that’s where the majority of that delta comes from.
Matt Swope – Broadpoint Capital : So the 100 assumes that you had maybe another one or two of those agreements in place.
Thomas Carter : Correct.
Operator: Your next question comes from the line of Jonathan Levine – Jefferies & Co.
Jonathan Levine – Jefferies & Co.: Just a couple housecleaning ones, what was the amount of the expense that related to the credit agreement that you did in corporate in 3Q 2009.
Thomas Carter : It would be approximately $0.50 million and we will see more of that, and I’m sure everybody is aware of this, we had to include those expenses that were actually incurred in Q3 in Q2;s financial statement even though the credit agreement was not closed until the 8th or 9th, forgive me for not knowing the exact date. We did incur substantial legal fees prior to that and so those fees were included in Q3. You’ll see more fees included in Q4 as kind of items incurred between October 1 and the closing and then after action items for clean up and documentation. Most of those related to legal fees in Q3, it Q4 it will be legal fees and some direct cost associated with the amendment itself, the fees payable to the lending group. So you’ll see more in Q4.
Jonathan Levine – Jefferies & Co.: And so I guess from a magnitude standpoint, would it be in the $500,000 range or are you expecting it to be larger.
Thomas Carter : Still coming in, I would probably say that’s probably a good placeholder for the time being. One note for covenant purposes we are excluding those as one time events so it doesn’t effect our EBITDA for compliance but obviously it does show up in our financial statements.
Jonathan Levine – Jefferies & Co.: On a recent conference call Sinclair had, they highlighted that, or commented that I guess an agreement they had with you in Peoria and in Rochester, that that terminates in April of 2010, can you just talk a little bit in terms of what type of cash flow that generates for you.
Perry Sook : The Sinclair JOA’s in Peoria and Rochester are set to expire in April of next year. There’s been some discussion of a new deal but not much. Now if they do away, it may work pretty well for us as the bulk of the political spending goes to the CBS affiliate side of the JOA which are our owned stations in Rochester and Peoria. And in an even numbered year we have to share that political revenue under the terms of the JOA so keeping 100% of the political revenue in New York and Illinois, both of which we expect to be big states in 2010 has the potential as we’ve done the math to contribute as much or more to our bottom line then our share of the JOA proceeds. So from a BCF perspective it has the potential to be cash flow neutral.
Jonathan Levine – Jefferies & Co.: So is that, so you’re assuming its neutral to potentially positive.
Perry Sook : It will depend on the order of the magnitude of the political but obviously there are extra expense in the JOA to support the Sinclair station, all of the expenses related to that would go away if this goes away. We keep 100% of the political revenue which the preponderance of the political revenue in those markets is placed on our CBS affiliates, not the FOX affiliates. So it does have the potential to be cash flow neutral next year and time will tell.
Jonathan Levine – Jefferies & Co.: And do you have any agreements up for renegotiation with any of the networks, NBC, FOX, or what not.
Perry Sook : Not any this year, the earliest is a CBS affiliation agreement in May of 2010. That’s the first time we’ll be at the table again with the networks.
Jonathan Levine – Jefferies & Co.: What was your cash balance, I may have missed that.
Thomas Carter : The cash balance at 9/30, I believe it was $19 million approximately.
Jonathan Levine – Jefferies & Co.: And then under I guess the new credit agreement, everything over $15 you now have to [sweep] against your bank debt.
Thomas Carter : That is a true statement, keep in mind that the $19 million was prior to paying the expenses associated with the credit agreement.
Operator: Your next question comes from the line of Barry Lucas – Gabelli and Company
Barry Lucas – Gabelli and Company: Couple of items here, start going back to political on the specific basis, have you seen any money from either Rick Perry or K. Bailey Hutchinson yet in Texas.
Perry Sook : Not as of yet.
Barry Lucas – Gabelli and Company: And nothing booked, nothing on the, at all, a little surprising that neither one of them have been active yet.
Perry Sook : Yes, we have a couple of avail requests pending but we don’t have any orders on the books.
Barry Lucas – Gabelli and Company: So as you look at the political landscape, how much optimism do you have, can you beat $33 million of Presidential year in 2010.
Perry Sook : As 2010 shapes up, we have more Senate and Governor races that are contested and just more in total then we have had at any point in our history so without giving specific guidance on the number, when you look at the number that you just mentioned I think we could bet the over on that.
Barry Lucas – Gabelli and Company: Super Bowl flips to CBS next year, you’ve got more and bigger CBS stations then FOX’s, what do you think the swing can be in a positive sense on a Super Bowl swap.
Perry Sook : It’s a one day event but we think the incremental is probably somewhere in the million and a half dollar range. We think for Olympics its probably about four times that.
Barry Lucas – Gabelli and Company: And I’m not sure if Jim Boyle was dancing around the question as he was talking about technology, 10 or 15 years down the road, but there has been some discussion in Washington about clawing back spectrum from broadcasters, how would you feel about that, would you want to if you had guaranteed carriage on multi channel distributors, do you care, are you better off with it, how—
Perry Sook : I think we care a lot, let me give you a quote from James Madison, a former President and the Father of our Constitution, “I believe there are more instances of the abridgement of freedom of the people by gradual and silent encroachments by those in power, then by violent and sudden usurpations.” Which I think will tell you our opinion very clearly. There is no bandwidth shortage now. This is an eventual problem that may need to be dealt with and there’s no shortage of unused spectrum either. Most of the unused spectrum is currently being held by other governmental agencies. The Congressional Act that granted broadcasters our digital spectrum and then the following massive unfunded mandate for we broadcasters to build it out provided for a 5% tax on revenue derived for uses other then television so I think the eventuality that you’re talking about has already been accounted for by Congress and I don’t think there’s any further action required or needed quite frankly by the FCC. Our position is there may be ancillary uses to the spectrum. There’s already a provision from Congress that would require us to pay a tax on that if its not used for television. So I say let the market determine the highest and best uses of the spectrum which includes HDTV by the way which would go away if we didn’t have enough spectrum to push it out to our consumers. And I’d say let the market determine the highest and best use and let’s keep the government out of it.
Operator: Your final question comes from the line of [Aaron Wassa] – Deutsche Bank
[Aaron Wassa] – Deutsche Bank : Just wanted to jump in here at the end with more of a big picture question, with all the changes and shifts kind of going on in the world of media right now, viewers have more and more channels or platforms to get their video, broadcast ratings being impacted by competition from among others cable networks, we even have a cable company buying a network at this point or it looks like it so, can you maybe just refresh us on how you feel and think about the value of the local affiliates to the networks and how that’s changed and how it may change and why you’re still an important kind of armor part of the television picture as we go forward.
Perry Sook : I think that the local affiliates are more valuable to the network then the network is to the affiliates. I think that if you look at NBC already has a general entertainment basic cable network, its called USA and when they debut original programming, they’re happy to celebrate it, a one national rating. I think it is this distribution system of branded local stations and those branded local stations are the most important words that I’m saying here, are what allows the network to distributed beyond their owned and operated universe to create big event programming and Sunday Night Football and Olympics and those kinds of things. I think one of our most important assets is that we are in a local community, we have 50 year old brand and both the buyers and the sellers on both side of the cash register know who we are and I think that the outlook long-term is that we need to think of ourselves as local broadcasters as more of a local service business and be less concerned about how we do what we do, but more concerned with what we do which is to deliver local content in a local community and make the cash register ring for local advertisers and local businesses. And I’m not concerned about what screen that goes out on, how big it is, what the delivery mechanism is, but that’s really what we’re there to do and I think if we keep our head around the business that way, we’re always going to have a business. I am not particularly concerned about the saber rattling of broadcast networks going to a cable model. I think I’ve said in Q&A before that that’s all predicated on kind of ESPN like subscription revenue and that’s more operating profit then all the cable companies, all the telephone companies and all of the satellite companies make combined. So how would that be paid for. It would be paid for with an increase in price to the consumers and I look at Congress bringing cable in to talk about why they’re rates are growing at three times the rate of inflation today, can you imagine the political firestorm if every multi channel video consumer in the country was assessed a $12.00 a month tax on their bill. I don’t think it will happen and again there’s nothing wrong with the distribution system and I think if you look at our company the way we’ve positioned it, we’ve got the broadcast station, which is our reach vehicle and then our online assets which as you move through the purchase funnel and go from brand awareness to specific information on product, compliment each other very well. And I think we’ve very well positioned as a local service business as far as the eye can see.
[Aaron Wassa] – Deutsche Bank : I get the question a lot, but I know you’re in the thick of it so I just wanted to get your updated thoughts.
Perry Sook : You bet, I get the question a lot too.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Perry Sook : We’d like to thank you all for joining us on this Veteran’s Day and we look forward to with the improving ad trends in the fourth quarter, coming back in three months’ time and reporting on our fourth quarter 2009 results and hopefully then with a view toward 2010. Thanks again everyone.